Operator: Welcome to the Douglas Elliman's First Quarter 2025 Earnings Conference Call. This call is being recorded and simultaneously webcast. An archived version of the webcast will be available on the Investor Relations section of the company's website located at investors.elliman.com for one year. During this call, the terms adjusted EBITDA and adjusted net income or adjusted net loss as well as last 12 months metrics will be used. These terms are non-GAAP financial measures and should be considered in addition to, but not as a substitute for, other measures of financial performance prepared in accordance with GAAP. Reconciliations to adjusted EBITDA and adjusted net income or adjusted net loss are contained in the company's earnings release, which has been posted to the Investor Relations section of the company's website. Before the call begins, I would like to read safe harbor statement. The statements made during this conference call that are not historical facts are forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially from those set forth or implied by forward-looking statements. These risks are described in more detail in the company's Securities and Exchange Commission filings. Now I'd like to turn the call over to the Chief Executive Officer of Douglas Elliman, Michael S. Liebowitz.
Michael Liebowitz: Good morning, and thank you for joining us. I am pleased to share that Douglas Elliman continues to make meaningful progress as we execute our strategy to drive growth, improve profitability and position the company for long-term success. With me on the call is Bryant Kirkland, our Chief Financial Officer. On today's call, we will discuss the current operating environment and Douglas Elliman's financial results for the 3 months ended March 31, 2025. All numbers presented this morning will be as of March 31, 2025, unless otherwise stated. We will then provide closing comments and open the call for questions. Before we turn to our first quarter 2025 results, I would like to start by summarizing some of our accomplishments over the last 90 days. We are building on the momentum we established last year. In the first quarter of 2025, our revenues increased by 27% year-over-year to $253.4 million marking our strongest first quarter performance since 2022. This growth reflects the strength of our historic brand, the dedication of our agents and the success of our strategic initiatives. We also made strong progress for restoring our non-GAAP profitability with significant reductions in operating losses when compared to the first quarter of 2024. Our agents and employees remain at the center of everything we do. Their hard work and commitment to excellence continue to drive our success. We are proud to support them with the tools and technology they need to excel in today's market. Now let's discuss the future. Looking ahead to the second quarter, we are encouraged by the trends we are observing. While challenges persist, such as continuation of elevated U.S. mortgage rates, low housing inventory, soft transaction volume, broader economic trends, tariffs and other geopolitical uncertainty. Our average daily cash receipts in April of '25 were up approximately 4% compared to the same period in '24. These results illustrate the resilience and strength of the luxury markets we serve. We remain focused on executing our strategic growth initiatives, including our development marketing division, which continues to be a cornerstone of our long-term growth strategy. As demand for luxury residences continues to build in our markets, this division is very well positioned to capitalize on the growing demand for luxury residences in our markets. We continue to prioritize expense discipline while optimizing operations and are making meaningful progress. By balancing strategic investments with thoughtful cost management, we are well positioned to capitalize on future opportunities to expand our revenue base particularly in recruiting and in our international expansion. And our strategic M&A and business development unit continues to evaluate complementary acquisitions and ancillary businesses such as title, escrow, insurance brokerage, property management that would align with our ROI targets and long-term strategy. We believe our ongoing efforts by transforming Douglas Elliman into a more diversified, resilient and forward-looking real estate services company, one that is well equipped to thrive in an evolving market and deliver long-term value. With that, I will turn it over to Bryant, who will provide more details on our financial performance and the trend shaping the residential real estate market.
Bryant Kirkland: Thank you, Michael. We are confident that the improvement in financial results that began in 2024 and which has continued into the first quarter of 2025 is positioning Douglas Elliman for long-term success. The first quarter results indicate our core operations are continuing to benefit from the expense reductions management has implemented as well as the significant investments made in our development marketing division. In particular, the first quarter results were enhanced by a favorable sales mix, resulting from the strength of our highest gross margin markets. The development marketing division and existing home sales in New York City. Specifically, New York City's revenues from existing home sales increased by $17 million or 34% from the 2024 first quarter, and Development Marketing's first quarter revenues increased by $14.6 million or 222% from the 2024 first quarter. Before reviewing the financial performance, we will provide some updates on our trends. First, Douglas Elliman owns luxury. Pricing for luxury home sales remained strong. Our industry-best average price per transaction rose to $2 million per home sale compared to $1.6 million per home sale in the comparable 2024 period. For the last 12 months, our average price per home sale transaction has been $1.76 million compared to $1.6 million per home sale in the 2024 last 12-month period. In the first quarter of 2025, our world-class agents sold 343 homes for approximately $5 million or more. That was a 73% increase from the same quarter last year and impressively represented 7% of our total transactions during the first quarter. Equally impressive, are 104 home sales of $10 million or more, an increase of 76% from the same quarter last year. Again, Douglas Elliman owns the luxury markets it serves. Continuing with that theme, and as Michael discussed, our development marketing division remains the preeminent industry player with a pipeline of actively marketed projects of approximately $28.3 billion of gross transaction value. Approximately $18.7 billion of gross transaction value is in Florida alone. In addition to this active pipeline, we have another $4.2 billion of gross transaction value coming to market through June 2026. We believe this foundation of business bodes well for the future as we will recognize commission income from these projects when they close, which is generally between 2025 and 2030. Beginning with a strong performance in the fourth quarter of 2024 from development marketing, we are continuing to see the early momentum of this pipeline as development marketing's revenue increased to $21.1 million in the first quarter of 2025, up from $6.6 million in the 2024 first quarter. Transitioning to updates on our expense structure. We continue to manage investments across our markets with a strict focus on return on investment metrics. In the first quarter of 2025, we reduced our operating expenses by $3 million from the first quarter of 2024 after excluding commissions, depreciation and amortization, unusual litigation expense settlement and related expense, restructuring expenses and noncash stock compensation expenses. Now turning to Douglas Elliman's financial results for the 3 months ended March 31, 2025. Douglas Elliman maintains active and ample liquidity with cash and cash investments at March 31, 2025, up approximately $137 million. The strength of our balance sheet provides a competitive advantage for Douglas Elliman as we implement expansion plans to scale our operations and strengthen our services platform. Historically, a significant cash flow drain occurs in the first quarter because of the seasonality of our business and the timing of annual cash bonuses, which are generally paid in March. That said, the decline in cash investments was $8.7 million in the first quarter of 2025 compared to $28.4 million in the first quarter of 2024, an improvement of approximately $20 million. Moving to the operating performance of the business in the first quarter. Douglas Elliman reported $253.4 million in revenues compared to $200.2 million in the 2024 first quarter. Net loss for the first quarter was $6 million or $0.07 per diluted share compared to $41.5 million or $0.50 per diluted share in the 2024 first quarter. Adjusted EBITDA for the first quarter were a positive $1.1 million compared to a loss of $17.6 million in the 2024 first quarter. Adjusted net loss for the first quarter was $2.4 million or $0.03 per share compared to adjusted net loss of $23.1 million or $0.28 per share in the 2024 first quarter. Thank you for your attention, and back to you, Michael.
Michael Liebowitz: Thanks, Bryant, and thank you and your team for your hard work this quarter. You guys did a great job. I continue to believe in the strength and brand power of the Douglas Elliman brand and its scalability, and we are very excited about our future. The results over the last 2 quarters show we are continuing our turnaround and performing extremely well. Our best days are ahead. With that, we will be happy to answer any questions. Operator?
Operator:
Michael Liebowitz: Thank you.